Operator: Good afternoon, everyone and welcome to EVERTEC’s Second Quarter 2023 Earnings Conference Call. Today’s conference call is being recorded. [Operator Instructions] I would now like to turn the conference over to Beatriz Brown-Sáenz of Investor Relations. Please go ahead.
Beatriz Brown-Sáenz: Thank you and good afternoon. With me today are Mac Schuessler, our President and Chief Executive Officer; and Joaquin Castrillo, our Chief Financial Officer. Before we begin, I would like to remind everyone that this call may contain forward-looking statements and should be considered in conjunction with cautionary statements contained in our earnings release and the company’s most recent periodic SEC report. During today’s call, management will provide certain information that will constitute non-GAAP financial measures under SEC rules, such as adjusted EBITDA, adjusted net income and adjusted earnings per common share. Reconciliations to GAAP measures and certain additional information are also included in today’s earnings release and related supplemental slides, which are available in the Investor Relations section of our company website at www.evertecinc.com. I will now hand the call over to Mac.
Mac Schuessler: Thanks, Beatriz. We provided some very exciting news on the M&A front last week and we now have encouraging news on the earnings front. As previewed last week, we delivered strong second quarter results above our expectations. Revenue for all segments exceeded our internal plan and margins were also above our expectations. On today’s call, I will start with some highlights from the quarter and then we’ll turn it over to Joaquin, who will provide further details on our second quarter results, as well as an update to our expectations for the rest of the year, which include another increase to our guidance for 2023. Beginning on Slide 4, total revenue was approximately $167 million for the first quarter, an increase of 4% compared to the second quarter of 2022. Adjusted EBITDA was approximately $74 million, a slight increase when compared with the prior year quarter. Adjusted EBITDA margin was 44.6%, above our expectations and adjusted earnings per share was $0.71, an increase of 6% from the prior year quarter’s adjusted EPS of $0.67. As a reminder, we changed our calculation of adjusted EBITDA, adjusted net income and adjusted earnings per share metrics last quarter to exclude the impact of non-cash unrealized gains and losses from foreign currency remeasurement and all variances against prior year have been compared against recasted figures considering this change. We generated operating cash flow of $126 million and we returned approximately $22 million to our shareholders through dividends and share repurchases. Additionally, our liquidity remains strong at approximately $386 million as of June 30. Moving on to our business update on Slide 5. In Puerto Rico, we experienced strong growth in both merchant acquiring and payment processing, with Business Solutions down as expected. Merchant Acquiring revenue was up 7% year-over-year, driven by an increased spread per transaction as we continue to benefit from pricing actions taken last year in addition to a beneficial card mix, as well as an increase in sales volumes. Payment Puerto Rico was up 10% year-over-year and above expectations, reflecting increased transaction volumes, continued growth from ATH Movil and an increase from services provided to our LatAm segment. Our Business Solutions segment revenue was down approximately 12% year-over-year, as expected, due primarily to the assets sold as part of the Popular transaction. I’d like to provide a few comments on the macro environment in Puerto Rico. The overall backdrop remains stable overall. And some of the economic data even picked up slightly in the second quarter after moderating late last year into the first quarter. The unemployment rate ticked up to 6.1% in May from 6% in prior months, but this is still near the lowest level in decades. The Economic Activity Index was up 1.8% year-over-year in the month of May, below the mid single-digit growth for much of 2022, but an improvement over the modest declines experienced in the first quarter. Travel and tourism also accelerated in the second quarter with year-to-date total airline passengers up 18% year-over-year. Auto sales also picked up from the first quarter, but were still down slightly year-over-year in the month of June. In sum, the macroeconomic environment remains supportive of growth, but at this point, we are not counting on significant tailwinds from the economy in 2023. Finally turning to Latin America. Revenue was up 27% year-over-year in the quarter as the segment benefited from the revenue contributions of the VBR acquisition completed in the third quarter last year, and this paySmart acquisition completed in the first quarter of this year. We continue to experience double-digit organic growth across the region, driven in part by some of the business wins we’ve highlighted over the past year. And as discussed, we are excited about the potential for the Sinqia acquisition to further strengthen EVERTEC’s position in the region. This was a strong quarter that reflects our ability to execute our plans, both organically and inorganically. I wanted to thank the team that worked really hard this past quarter to put us in the position of delivering great numbers while also executing on what is a game-changing deal for EVERTEC with Sinqia. With that, I will now turn it over to Joaquin to provide a more in-depth look at our second quarter results and our increased outlook to 2023.
Joaquin Castrillo: Thank you, Mac, and good afternoon, everyone. Turning to Slide 7, you will see the consolidated second quarter results for EVERTEC. As a reminder, last quarter, we made a change to our calculation of adjusted EBITDA, adjusted net income and adjusted EPS to exclude the effects of non-cash unrealized gains and losses from foreign currency remeasurement. For clarity and comparability, we have recast prior period numbers to conform to the current period presentation. Total revenue for the second quarter was $167.1 million, up approximately 4% compared to $160.6 million in the prior year. We experienced strong growth across all of our payment segments, both in Puerto Rico and LatAm. The revenue strength was driven primarily by increasing sales and transaction volumes as well as better spreads. Revenue growth also benefited from the contribution of the 2 acquisitions completed over the past year, partially offset by the impact from the assets sold as part of the Popular transaction that mostly impacted our Business Solutions segment. Adjusted EBITDA for the quarter was $74.5 million, an increase from $74.1 million in the prior year. Adjusted EBITDA margin was 44.6%, an approximate 160 basis point decrease compared to the prior year. The decrease in margin, which was expected, reflects the impact of the Popular transaction, specifically the revenue sharing agreement and the sale of assets, which, as we have previously said, more of higher margin. I will highlight that the margin for the quarter was above our expectations, and driven by our ability to leverage our revenues, but also as a result of specific cost initiatives implemented during the quarter around personnel cloud costs and others in order to offset some of the impacts to our margin resulting from the Popular transaction. But in addition, in preparation for a potential acquisition in Latin America, such as the one we announced last week, which as we have stated, would put pressure on our overall margin. Adjusted net income for the quarter was $46.6 million, a decrease compared to $48 million for the prior year. Our adjusted effective tax rate in the quarter was 20% and aligned to our expectations given that the first quarter effective tax rate was lower than expected due to specific results in Latin America. We continue to expect the tax rate for the full year to range from 16% to 17%. Adjusted EPS was $0.71 for the quarter, an increase of approximately 6% compared to the prior year, with the increase driven by a combination of lower net cash interest expense, driven by higher interest income and a reduced share count due to our repurchase activity throughout 2022. These positive impacts were partially offset by higher operating depreciation and amortization and higher non-GAAP tax rate. Moving on to Slide 8. I’ll now cover our segment results, starting with Merchant Acquiring. In the second quarter, Merchant Acquiring net revenue increased 7% year-over-year to approximately $41.2 million. This increase was driven primarily by an increased spread due to the continued benefit from pricing initiatives some of which were implemented during the third quarter of last year, as well as a shift in the mix of credit card spend towards premium cards and an increase in sales volume. Volumes were mostly aligned what we saw exiting Q1 with low single-digit growth over the prior year quarter. Adjusted EBITDA for the segment was $15.6 million, down approximately 11%, and adjusted EBITDA margin was 37.9%, down approximately 760 basis points as compared to last year. The decrease in adjusted EBITDA and margin is mainly due to the impact of the revenue sharing agreement with Popular as well as the effect of a declining average ticket, which is below prior year, again this quarter, with transactions up almost 6%, representing increased transactional processing expenses for the segment. On Slide 9, you will see the results for the Payment Services, Puerto Rico and the Caribbean segment. Revenue for the segment in the second quarter was $50.8 million, up approximately 10%, driven by solid transaction growth and strong performance by ATH Movil. POS transactions were up 6% from the prior year, more consistent with the trends we saw in 2022. ATH business continues to be a big growth driver for the segment, with transaction growth of approximately 49% year-over-year and sales volume up 35% year-over-year. The segment also continues to benefit from issuing services being provided to health care company in Puerto Rico, which continue to increase the number of participants in these programs as well as increases in transaction processing and monitoring services provided to the Payment Services Latin America segment. Adjusted EBITDA for the segment was $29.2 million of approximately 22% as compared to last year. Adjusted EBITDA was 57.5%, up approximately 560 basis points as compared to last year. The margin increase was due to leverage off of the strong revenue and the impact in the prior year of a $4.1 million impairment loss on a multiyear software. On Slide 10, you will see the results for our Payment Services LatAm segment. Revenue for the segment in the second quarter was $39.1 million, up approximately 27% as compared to last year. We continue to see double-digit organic growth with existing customers across the region, complemented by the addition of both the BBR acquisition completed in the third quarter of last year and the paySmart acquisition that we announced in late February. On a currency neutral leases, year-over-year growth would have been approximately 29%. Adjusted EBITDA for the segment was $14.1 million and adjusted EBITDA margin was 36%, up approximately 270 basis points compared to last year due to leverage from higher revenues as well as the reversal of some previous one-time charges, partially offset by higher personnel costs driven by foreign currency appreciation as well as some higher professional services. Excluding the impact from the one-time charges, our normalized margin for the quarter would have been approximately 32%. On Slide 11, you will find the results for the Business Solutions segment. Business Solutions revenue for the second quarter was down approximately 12% to $57 million. The decline is due to the assets sold as part of the Popular transaction last year, and was partially offset by an increase in our IT consulting business, driven by the timing of certain projects. For the quarter, adjusted EBITDA was $23.4 million, and adjusted EBITDA margin was 41%, down approximately 510 basis points as compared to the second quarter last year and in line with our expectations. The adjusted EBITDA margin decrease was mainly driven by the impacts from the Popular transaction, which includes the effect of the assets sold, which were of higher margin. Moving on to Slide 12. You’ll see a summary of our Corporate and Other. Our second quarter adjusted EBITDA was a negative $7.8 million, a decrease of approximately 5% compared to prior year. Our adjusted EBITDA as a percentage of total revenue was 4.7%, consistent with the prior year and in line with our expectations. Moving on to our cash flow overview on Slide 13. Our beginning cash balance was approximately $204 million, including restricted cash of approximately $19 million. Net cash provided by operating activities was approximately $126 million, a nearly $4 million decrease compared to prior year, mainly as a result of the decrease in net income. Capital expenditures were approximately $35 million, and we continue to anticipate approximately $70 million of CapEx for the full year 2023. We paid down the outstanding balance on our revolving credit facility of $20 million, approximately $10 million in long-term debt payments, and $6 million in withholding taxes on share-based compensation, which resulted in a total net debt decrease of approximately $36 million. We paid cash dividends of $7 million, and we repurchased approximately 456,000 shares of common stock at an average price of $34.60 for a total of approximately $16 million year-to-date. As we announced last week, we have expanded and extended our repurchase program, and we now have $150 million available for future use through December 31, 2024, and we also announced another $0.05 dividend to be paid on September 1, 2023, to shareholders of record as of July 31, 2023. Our ending cash balance as of June 30 was $211 million, and this included approximately $19 million of restricted cash. Moving to Slide 14, you’ll find a summary of our debt as of June 30. Our quarter ending net debt position was approximately $213 million, comprised of approximately $192 million of unrestricted cash and approximately $405 million of total short-term borrowings and long-term debt. Our weighted average interest rate was 5.4%. Our net debt to trailing 12-month adjusted EBITDA was approximately 0.86x. As of June 30, total liquidity was approximately $386 million. This balance excludes restricted cash and includes the available borrowing capacity under our revolver. Moving to Slide 15, I will now provide you with an update to our 2023 outlook as well as some comments on the remainder of the year. Given our Q2 results and additional visibility, we are raising our guidance and now expect revenue to be in a range of $652 million to $658 million, representing growth of 5.4% to 6.4%. We expect adjusted EBITDA margin to range between 43% to 44%, up from our prior expectation of 42% to 43% as we push through the rest of the year, some of the cost initiatives that we mentioned previously as well as the impact from higher revenues. Our adjusted earnings per share outlook of $2.75 to $2.83 represents growth of 9% to 12% as compared to the adjusted earnings per share in 2022 of $2.53 and represents an increase versus our prior expectation of $2.59 to $2.68. On a GAAP basis, earnings per share is anticipated to be between $1.82 to $1.91. In terms of adjusted earnings per share, we are still anticipating our non-GAAP effective tax rate to be in a range between 16% and 17%. We have not considered any additional share repurchases as part of our outlook. In terms of the segments, we now expect our merchant acquiring revenue to grow in the mid to high single-digits. We expect our payments processing Puerto Rico segment to grow in the high single to low double-digits. As a reminder, this quarter, we lapped the tuck-in acquisition completed in the second quarter of last year and expect a deceleration in the growth of this segment for the second half of the year when compared to the first half of the year. We now anticipate our Payments LatAm segment to grow in the high-teens to low 20s for the year. As a reminder, we will anniversary the BBR acquisition completed last year during Q3 and expect a deceleration in growth in the second half of the year when compared to the first half of the year. In Business Solutions, we’re still expecting a low to mid-single-digit reset for the full year, and we expect a return to positive growth in the second half of the year as we anniversary the popular transaction in the third quarter. In summary, we’re pleased with our results in Q2 and the trends we see in the business. We are very excited about the combination of EVERTEC and Sinqia and look forward to providing even more details once the deal closes. We look forward to openly seeing you in person at upcoming conferences in the coming months. Operator, please go ahead and open the line for questions.
Operator: [Operator Instructions] The first question comes from John Davis with Raymond James. Please go ahead.
John Davis: Hi, good afternoon, guys. Joaquin and Mac, given the renewed focus here on LatAm, given the Sinqia deal, just 27% growth, maybe Joaquin, can you help us with organic growth this quarter. I heard you was going to step down to high-teens, low 20s for the full year. So I’m kind of getting mid-teens organic growth, but just curious if that’s in the ballpark.
Joaquin Castrillo: We actually gave a range, John. It’s a low double-digit – yes, low double-digits to low-teens.
John Davis: Okay. So, LatAm organic growth, low-teens, okay.
Joaquin Castrillo: Yes.
John Davis: That makes sense. And then any comments kind of quarter-to-date, we have seen for the networks, it’s kind of been similar to 2Q. Obviously, you have a little bit different of the geographic mix, but anything to call out, anything different in July versus kind of 2Q worth noting?
Joaquin Castrillo: Actually no, I would say that even when we look at the sequence month-to-month during the second quarter, it was relatively constant or stable. There is nothing really to go out. Other than, for example, we did see gas station volume kind of move away from us mainly because we had such high gas prices last year. But other than that, we are seeing July behave very similar to what we saw in general during the second quarter.
John Davis: Okay. And then last one for me. In the press release, you called out pricing actions and mix were kind of a higher spread in the acquiring business. Remind when you kind of made those pricing actions? And should we expect further kind of price actions in the future? Just how are you thinking about price in general in the acquiring segment?
Joaquin Castrillo: Sure. So, some of the pricing actions we are mentioning and we are still benefiting from, I would say, took place during the third quarter. So, we will have some benefit still going to the third quarter, and that will start to diminish a little bit as we go into the fourth quarter. But as a reminder, John, and I think we have said this before, we are constantly looking at the portfolio in general and looking at different verticals where we see we have some pricing power. We are obviously very cautious as to how we go about making these pricing actions. But this is something that we are constantly doing, made smaller scale. The specific ones, we will lap in Q3.
John Davis: Okay, sorry. Thanks guys.
Joaquin Castrillo: Thanks John.
Operator: The next question comes from Marc Feldman with William Blair. Please go ahead.
Marc Feldman: Hi guys. This is Marc on for Bob. Just wanted to ask about Sinqia, if you could go into the competitive landscape in Latin America for the markets that they are in, who are you guys going to be competing against? Is it going to be local solutions? Is it going to be the large conglomerates, just any info there?
Mac Schuessler: Sure. Hi. This is Mac. So, what I would refer back to is the presentation that we gave last week. And there is a slide that shows sort of the estimation of their share in Brazil across their four verticals. So, if you look at the far right on the consortium business, it was just primarily a business in Brazil, right, a way of financing transactions in Brazil. And in the appendix, we have a slide that kind of describes how a consortium transaction works. I mean they sort of dominate the market, and they have – it’s a much smaller market, much smaller addressable market, but they dominate that market. They have the best solutions. And then you go all the way the left, to banking, which is a much larger addressable sort of category, addressable market, but it’s much, much more fragmented as well. So, they are competing with locals and it’s a broader set of capabilities that banks look for versus a consortium or a fund. So, if you look at that page from right to left, right is where it’s a smaller market, and they tend to have more sizable market share. And they tend to dominate with their solutions. And to the far left, you will see, again, with banks much larger market, much broader set of products required for banks and it’s a much larger set of competitors. So, you are going to be competing with potentially some large U.S. players, you are going to be competing with some of the local players in Brazil and then maybe some niche best-of-breed competitors. But they have 7 banks of the top 10 banks have some type of solution with these guys. So, they are pretty entrenched in that segment. But as we close, we will give an even further view, but we are excited because again, like we said, this puts us in Brazil, which is by far the largest market with an extremely strong franchise, and it also gives us products and also not just products potentially that we can export, but we can roll out a similar type of assets in those verticals across the region.
Marc Feldman: Understood. Thank you. And then I guess, following up more with Sinqia. Could you talk about, I guess how does the tech stack compared to a lot of these new and emerging solutions is, everything cloud-enabled, modern API based. Just any details that you could have there, because obviously, we think tech can run the whole gamut.
Mac Schuessler: Yes. Look, I mean they were – they have a significant amount of acquisitions they made over time and trying to rationalize those platforms and ensure that their cloud-based is an exercise that they have gone through and they continue to go through. We will provide more details when we get closer to the closing. But we do feel confident that the products they have are very competitive for the verticals that they participate in.
Marc Feldman: Understood. Thank you, guys.
Mac Schuessler: Thank you.
Operator: [Operator Instructions] The next question comes from James Faucette with Morgan Stanley. Please go ahead.
Unidentified Analyst: Hi guys. It’s Michael on for James. Thanks for taking our question. I just wanted to follow-up quickly on the merchant business. You alluded to declining average tickets. I was hoping you could contextualize what that looks like and sort of how you are expecting that to trend over the next 6 months to 12 months?
Joaquin Castrillo: Sure. So look, this is a dynamic that we saw kind of, let’s say, going the other way during the pandemic with the, let’s say, some of the Fed funds getting to people’s bank accounts and the extra unemployment benefits, etcetera, something that also happened in the U.S. is we saw really increasing and really high average tickets. We also saw a very similar situation after the hurricane here in Puerto Rico, where a lot of the insurance claims were getting paid, some of the FEMA money was coming in. And we also saw that, that excess cash in people’s bank accounts got reflected in really high average tickets. And when – after the hurricane over time, that really started to come back and normalize as people kind of get back to, let’s say, normal spending habits. And that is something that we also expected coming off of the pandemic. And I think that we have been noting that trend now for a few quarters. It’s something that we expected and that we had already taken into consideration as part of our guidance. Obviously, inflation has somewhat kept a little bit higher than what we originally expected. But we do see a little bit more space for those average tickets to come down when we look at what was, let’s say, pre-hurricane or pre-COVID levels.
Unidentified Analyst: Got it. That makes sense. And then maybe just on capital allocation more broadly. If I just think about the buyback, it looks like intra-quarter, it was generally executed at prices in the mid-30s. I know you guys obviously just increased the back authorization. But how are you thinking about the relative attractiveness of the buyback with the stock in the low-40s as you sort of balance your other capital allocation priorities?
Mac Schuessler: Hi. This is Mac. So, let me answer that a little bit. I mean we are not going to sort of give commentary on our stock price and give you a direction where we are going to go on the buyback. We did – as you know, we do have to do some buyback as part of this transaction to offset the dilution from the 10%, but capital allocation will continue to be important for us. And we have talked about it for the last couple of years, and I think people rightfully so have focused that we need to deploy capital. We knew we were looking at transactions with the size of Sinqia, and we will continue to look at M&A. But we will – I mean the authorization was partially because we are going to need to buy back stock for the transaction. Joaquin, I don’t know if you want to add anything.
Joaquin Castrillo: No, no, that’s exactly where I was going, so I think you give us rest.
Unidentified Analyst: Okay. Thank you, both.
Joaquin Castrillo: Thank you.
Operator: [Operator Instructions] This concludes our question-and-answer session. I would like to turn the conference back over to Mac Schuessler for any closing remarks.
Mac Schuessler: Again, I want to thank everyone for joining our call. I want to thank my colleagues for a great quarter and also for helping get the Sinqia transaction to this point. We look forward to talking to you over the coming months at different conferences. Have a good night.
Operator: The conference has now concluded. Thank you for attending today’s presentation. You may now disconnect.